Operator: [Hello, everyone, and welcome to Bladex's Third Quarter 2020 Conference call on this 27th day of October 2020. This call is being recorded and is for investors and analysts only. 
 [Operator Instructions] 
 Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast ] and on the bank's corporate website at www.bladex.com. Joining us today are Mr. Jorge Salas, Chief Executive Officer; and Mrs. Ana Graciela de Méndez, Chief Financial Officer. Their comments will be based on their earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934. 
 The in these communications, we may make certain statements that are forward-looking, such as statements regarding Bladex's future results, plans and anticipated trends in the markets affecting its results and financial condition. These forward-looking statements are Bladex' expectations on the day of the initial broadcast of this conference call, and Bladex does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in the bank's press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. 
 And with that, I am pleased to turn the call over to Mr. Salas for his presentation. 
Jorge Salas: Thank you, Nick. And good morning, everyone joining us today to discuss our third quarter results. Today, I'm here with Ana Graciela de Méndez, our CFO; and a few members of my executive team. This morning, I will be going through the presentation and talking about our balance sheet management during the quarter, and then Ana will discuss the P&L implications of it. After Ana's remarks, I will make some closing comments and then I will open it up for questions. Let me start by saying that overall, for the quarter, where we're still in a very uncertain environment, the underlying business fundamentals of Bladex performed quite well. 
 The unique flexibility of our business model and the quality of our customer base continues to be key. 
 Going to the presentation on Slide 3. As you probably recall, during the second quarter, our loan portfolio shrank by as much as 16%, up to $1 billion, while we're in the process of reassessing credit risk and favoring liquidity during the first few weeks of the quarter. 
 After very solid collections in Q2, we entered the third quarter with a very healthy portfolio, close to $5 billion, mostly short term, focused on top tier banks and top tier corporations. 
 On Slide 4, you can see that we had over $2 billion in maturities during the third quarter. More than 40% of our portfolio matured during Q3. Again, just like we did in Q2, we collected virtually 100% of all maturities across all industries in all the 18 countries we operate in. 
 Moving on to Slide 5. In Q3, we managed to grow our portfolio by 3%. We continue working closely with our clients and disbursed over $2.2 billion, 2x the volume disbursed in the previous quarter. As usual, these were mostly short-term freight-related loans, the average standard was 180 days, and the average rate was 227. That is an average 32 basis points higher than the maturing loans for the quarter. 
 The resulting loan portfolio for Q3 in Slide 6 was slightly above $5 billion, fully performing with 0 NPL. 73% of this portfolio is maturing in less than a year with an average rate that is 14 basis points higher quarter-on-quarter. 
 Slide 7 highlights the fact that our credit exposure remains very conservative, both in terms of countries and sectors. 59% of our loan book is now in investment in grade countries, and similarly, 55%, 53% of our book is placed in top-tier financial institutions across the region. You can see in both graphs, the remaining exposure is well diversified among countries and sectors.
 Moving to the next slide, give me a second here. Yes, sorry. In Slide 7, highlights the fact that our credit exposure remains very conservative, both in terms of countries and sectors. It is worth mentioning that as our portfolio matures, we keep strategically reducing our exposures in high-risk countries like Argentina, Ecuador and Costa Rica. Likewise, our exposure to risk in sectors has also been declining. 
 As an example, our exposure in the airline industry continues to follow a downward trend since Q1. It has come down by almost $100 million, 67%, and today, represents less than 1% of the portfolio. 
 Moving on to Slide 8, we show how our asset composition has varied throughout the year. 
 Our asset mix by quarter end is in line with the strategy of resuming commercial portfolio growth. We have gradually reduced our liquidity position, which by the end of the quarter was $1.5 billion, but always making sure we maintain a robust level. 
 Also, as an effort to increase the profitability of our cash position, our relatively small investment portfolio increased by $138 million, 144% and reached $234 million. Of this total, $107 million was invested in highly -- in high-quality liquid assets in according to the specifications of the base come. 
 Moving on to the liabilities side of our balance sheet on Slide 9. We show how our funding structure has varied over the year. Several points should be highlighted. One, our deposit base continues to grow as much as 6% quarter-on-quarter. A couple of things here. One, Bladex' new Yankee CD program has observed a very positive evolution. Over 70% growth quarter-on-quarter and reached $329 million. These certificates are proving to be an efficient tool to further diversify our funding base and attract new investors. 
 Also, on the deposit side, Latin American central banks are Class A shareholders, continue to comprise more than half of total deposits. As we have said before, these deposits represent not only a stable, cost-effective funding source, but also a clear demonstration of the support that central banks across the region continue to place in Bladex doing uncertain times. 
 The other thing worth mentioning is our bond issuance. As you probably saw, in early September, the bank successfully placed its third board issuance on the 144A/RegS market for $400 million. The bonds have a 5-year term and pay a fixed rate of 2.375%. The placement was 4x oversubscribed. The robustness of the demand allowed these transactions to be completed with the lowest coupon of all 144A issues carried out by Bladex so far. 
 Also, the bank sells a new syndicated facility for $150 million, which was successfully placed among investors in Asia, Europe and the Americas. 
 The bank entered into these transactions with the dual objective of further reinforcing the structure of its funding base by increasing diversification and extending the residual time to maturity of its financial liabilities. Moreover, with the purpose of generating efficient financial resources to capture new medium-term lending opportunities that have been identified by our commercial team. 
 I will now turn the call to Ana, so she can walk us through the P&L indications for all this. Ana? 
Ana de Mendez: Thank you, Jorge, and good morning to all. So let's move on to Slide #10, where we present the results for the third quarter 2020 with the net income of $15.4 million, representing a 9% increase quarter-on-quarter, and this is mainly due to increased revenues from interest, fees and other income, up a combined total of $1.8 million or 7% due to higher net interest margin and spreads and to a better performance in fees from the healthy business which has already recovered to pre-COVID levels. 
 In addition, the combined impact of credit provision charges and of changes in fair value of financial instruments totaled $1.9 million for the third quarter, a $0.6 million increase compared to the previous quarter, thus denoting a relatively stable trend in provision charges, in line with historical levels. 
 This is a reflection of the overall good performance and sound asset quality of the credit portfolio on the account of close to 100% collections, as Jorge mentioned, and of no NPLs, as I will go into -- with more detail later. 
 Year-on-year, quarterly profits decreased by 24%, mostly on lower net interest income and margin due to the change in asset composition since March of 2020, when the bank decided to increase its cash position and lower loan balances in view of the impact of COVID-19 and the market uncertainty is triggered that Jorge alluded to before. 
 Lower profits on stable and solid level of equity of over $1 billion has resulted in decreased quarterly returns for 2020 with a 6% ROE for the third quarter, denoting nonetheless, an improvement of 0.5 percentage points quarter-on-quarter. 
 On Slide 11, we present the drivers for quarterly net interest income evolution, which represents the main revenue pool for the banks at approximately 90% of total revenue. Quarterly net interest income, or NII, increased 4% quarter-on-quarter to $22.6 million, while net interest margin, or NIM, of 1.42% was up by 14 basis points. 
 The main driver of quarterly increases in income and margin was the continuous widening in net lending rate differential denoted by the 2.05% difference between loan and overall funding rate, which increased by another 6 basis points during the third quarter. This, in turn, reflects higher lending spreads, as Jorge referred to before, given that Bladex continues to take advantage of new loan originations at higher risk-adjusted pricing with respect to pre-COVID levels greatly compensating loan repricing on lower market LIBOR-based rates, which also positively impacted liabilities repricing. 
 On the other hand, average volume effect continued to put pressure on NII due to asset mix composition, as I just mentioned, with average cash still representing about 27% of total assets for the third quarter and average loans at 70%, even though end-of-period loan balances started to show a positive growth trend during the third quarter with a 2% increase, and accounted for 74% of total assets at the end of the quarter. 
 While ending cash balances decreased by 31% during the quarter, representing now 22%. Year-on-year, the quarterly NII decrease of 15% and the 35 basis points drop in the net interest margin are mostly attributed to the change in average asset composition that I just commented on as well as the lower market rates impacting the overall yield of assets financed by our ample equity base. 
 On to Slide #12, we present the evolution of allowances for credit losses, which under accounting norm, IFRS 9, incorporate forward-looking expected losses so that Bladex' best estimation of the impact of the current economic environment is already accounted for. 
 No new deteriorated credits were recorded during the quarter. So NPL balance remained at 0 as of September 30, 2020. Moreover, during the third quarter, Stage 2 exposure, assessed by the bank as having increased risk was reduced by $178 million, now representing 6% of total credit exposure, mainly reflecting the reduction of credit balances in countries that have been downgraded by the bank during this year. 
 In this respect, during the third quarter and given the recent developments in Argentina, thanks to allowances allocated to exposures in that country -- mainly in that country increased by $4.5 million, which, combined with lower Stage 1 requirements on low-risk origination, explains the overall $1.5 million charge in credit provisions for the third quarter. 
 Stage 2 exposure reduction also reflects collections on the bank's watch list exposures, including the sale of a $17.5 million loan to a South American company in the airline sector, reducing that company's exposure to 0, down from $46.5 million in March of 2020. This transaction led to a $4.4 million write-off against previously established credit allowances, denoting an overall recovery rate in excess of 90% of these clients' exposure since the beginning of the current price. 
 Stage 1 exposure, categorized as low risk, increased by $487 million during the quarter, to 94% of total exposure. Overall, the bank's total allowance for credit losses represented 84 basis points of total credit portfolio at September 30, 2020. All of which remain current. 
 Continuing on to Slide #13. Operating expenses for the third quarter of 2020 remained relatively stable quarter-on-quarter at decreased levels year-on-year, mainly due to lower salary and other employee expenses on the account of reduced performance base variable compensation provision while nonpersonnel expense levels remained relatively stable. Efficiency ratio stood at 33.1% for the third quarter, an improvement of more than 8 percentage points with respect to the previous quarter on higher revenue. I would now like to turn the call back to Jorge. Thank you. 
Jorge Salas: Thank you, Ana. As I said in my opening comments, the third quarter results are once again a good reflection of our conservative approach and the flexibility of our business model. The fact that we deal exclusively with top-tier corporations and banks has allowed us to keep collecting virtually 100% of our maturity on time and dispersed new loans in Brazilian countries and sectors. 
 Having said this, there is no doubt that there is still a great deal of uncertainty in the months to come. And therefore, priorities will continue to be the quality of our loan portfolio in keeping ample liquidity. I am very proud of the way our team has come together to navigate the storm so far. There is no doubt that opportunities will keep arising as the economies reopen throughout the region and lives will continue to be there to support our clients during this uncertain time. 
 That's it, on our side. I'll open it up for questions now. 
Operator: [Operator Instructions] And our first question comes from [Alvaro Lewis ]. 
Unknown Analyst: Perfect. I have 2 questions. I'll start with one. So during the quarter, the bank resumed its portfolio growth. And I just wanted to see if you could elaborate on the sustainability of this growth going forward, considering that we're in economic conditions in the region? And also if there's any particular sectoring, we should anticipate to focus this growth on? 
Jorge Salas: Sure. Thank you for your question. It's a very good question related to opportunities going forward and the sustainability. We do see opportunities going forward. As the appointments reopen, we're seeing increased demand from our client base, both corporate clients and banking clients that are obviously seeing an uptick in their demand with their own clients. Also, some of our corporate clients are looking to take advantage of the situation to grow organically and inorganically. 
 So we have some demand there. There's also an interesting thing going on with our letters of credit. And there are some -- to the extent that sometimes are strictly switching suppliers, there's some opportunities there as well. So I would say, we do think that demand will be there in short as economies reopen. As far as sectors, we do have a very clear understanding of what sectors are more resilient than we have -- yes, a lot of demand in those sectors as well. 
Unknown Analyst: And is there time for another question? 
Jorge Salas: Yes. Sure. 
Unknown Analyst: Perfect. The other question is in regards to liquidity. The bank has gradually reduced its liquidity position. During the last quarter, it stood at around $1.5 billion at the end of the quarter. So I just wanted to see what are your plans to optimize your liquidity at this point? 
Jorge Salas: Yes. Liquidity has been coming down, as I mentioned, because of liquidity, I can say though that opportunities arise. We could see liquidity coming down and also, to increase the profitability of our cash position, we're positioning for loan portfolio as I mentioned with highly liquid and low-risk asset, but that's the way to increase the profitability on that cash position. 
Operator: And our next question comes from Robert Tate. 
Robert Tate: Can you hear me? 
Jorge Salas: Yes, we can hear you. 
Robert Tate: Great. Congratulations on the good results, very solid. I just have 3 questions, if that's okay. So the first one was on the loans in the airline industry. The second one is on the loans in other high-risk industries and the third one is just on dividends. 
 So the first one, I just wanted to ask what is the remaining average number of months to maturity for the remaining airline loan [balance of $48 million? And is it due to just 1 borrower or more than 1 borrower? That's the first question. ] 
Jorge Salas: So thank you, Robert. So it's just 1 borrower. And it's -- we feel very comfortable with the exposure. The airline has over $1 billion in cash, and that exposure, it's for 2 more years. 
Robert Tate: Okay. And so the second question is just on other high-risk industries, loans in other high-risk industries. And earlier in the year, you spoke about and reported on a number of them, including the others of particular interest, I think, are automotive, retail and upstream oil and gas. And so I was wondering if you could just give us -- just talk about those industries and give us a bit more background as to what is happening in terms of the loans of those industries. That would be great. 
Jorge Salas: Sure. So oil and gas, upstream and supply chain and also to a lesser extent, we have car industry, including car dealers, and then sugar and ethanol, among others. We've been able to reduce our exposure to this higher risk industry by about $230 million, that's 31% compared to Q1 numbers, so -- with a major contraction in car trade, airlines and then sugar and retail as well. 
 So oil and gas, our exposure is today 85% focused in the oil industry, mainly in Trinidad and Tobago. Our main exposure is with a trade company -- with a big company there and we believe that the sovereign plays a key role under a stress scenario. So we feel comfortable there. In the sugar and ethanol, we cut our exposure to the industry by 46% since the onset of the prices after we sold the -- our NPL case in Brazil. I don't know if that -- do you need more color on that? That's what I can say. 
Robert Tate: Yes. I think that -- yes, that's fine. The -- and then the final question, the third question is just on the dividend. And I was [wondering if you could comment on the most important considerations that the Board we'd focus on ] in assessing the dividend and whether to raise it back to its previous levels. One of the things that they tend -- that you tend to, I guess, place the most emphasis on in making that decision. 
Jorge Salas: Sure, Robert. I'm going to say, again, as you all know, the dividend policy is up to the Board. It's a quarterly decision. So it considers the results for the quarter, but also the situation going forward. I prefer not to speculate on future dividends. I cannot tell you this is the new normal. I cannot tell you otherwise. The historically high levels of our capital are our reflection of the nature of the region we operate in. Capital preservation is a priority in [indiscernible] changing until we have more visibility on how this whole situation is going to evolve. 
Operator: [Operator Instructions] And it appears that we have no additional questions at this time. 
Jorge Salas: All right then. Thank you, everybody, for joining the call and please stay safe. Goodbye now. 
Operator: Thank you all for your attention. This concludes today's conference. All participants may now disconnect.